Operator: Good afternoon. My name is Carrie, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Live Nation Entertainment Fourth Quarter and Full Year 2013 Earnings Conference Call. Today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer period. Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements relating to the Company's anticipated financial performance, business prospects, new developments and similar matters. Please refer to Live Nation's SEC filings, including the risk factors and cautionary statements included in the Company's most recent filings on Forms 10-K, 10-Q and 8-K for a description of risks and uncertainties that could impact to the actual results. Live Nation will also refer to some non-GAAP measures on this call. In accordance with SEC Regulation G, Live Nation has provided a full reconciliation for the most comparable GAAP measures in their earnings release. The release, reconciliations and other financial or statistical information to be discussed on this call can be found under the Investor Relations tab on investors.livenationentertainment.com. It is now my pleasure to turn the call over to Michael Rapino, President and Chief Executive Officer of Live Nation Entertainment.
Michael Rapino: Good afternoon and welcome to our fourth quarter and full year conference call. We had a record year in 2013 and are well positioned for continued growth in 2014. During 2013 we grew our concert fan base by 10 million, attracting almost 60 million fans to our concerts, the Ticketmaster managing nearly 400 million total tickets. Combined we delivered a record year for revenue, AOI and free cash flow. Our results demonstrate the effectiveness of our business model, establishing Live Nation as what we believe to be the number one player in each of our businesses, with concerts driving our flywheel which then is monetized across our high margin onsite sponsorship and ticketing businesses. We continue to see tremendous power of live events, with strong consumer global demand. Data shows that live events are a high priority for discretionary spend, and over 80% of our fans surveyed indicate that they plan on attending the same or more events in 2014 as in 2013. Another sign of the strength of our business is that 85% of Live Nation’s fan growth came organically, by promoting more shows, launching new festivals and entering new markets. We believe the live business will continue up strong global demand for years to come, as fan demand, artist supply and new markets come together. Another reason for the strength of live events is that technology has rapidly transformed the business in a positive fashion. Live is not duplicatable and new social platforms have enabled fans around the globe to get close to their favorite artists. Fans in every corner of the globe can discover, follow, share and embrace artists, translating into greater demand for tours in our markets because nothing compares to seeing your favorite artist live. As music has gone global, technology is enabling a similar transformation of ticketing. Today, the vast majority of ticketing, transactions are online via mobile. Ticket sales are continuing their rapid shift to mobile, almost doubling in 2013 to 14% of total ticket sales. Today fans are hearing about concerts either from friends or by digital 70% of the time. As Ticketmaster continues to improve its products for fans to buy and manage tickets digitally more fans will be able to found out about shows, coordinate with friends and go to more concerts or other events. And as a result Ticketmaster will sell more tickets, Ticketmaster clients will benefit from increased sales and Live Nation concerts will increase its attendance per show. We continue to build share across our concert business growing by 19% in 2013 more above the industry growth rate, as Live Nation promoted 21 of the top 25 grossing tours in North America. In addition we grew our festival portfolio over 1 million fans and we further expanded in new markets with an additional 1 million more fans, now reaching 33 countries. We grew the business across all markets and venue types, as well as across all genres and music with country music delivering the greatest fan growth, up 2.3 million fans to nearly 7 million, a 50% increase year-over-year. Our newer artists also contributed to our growth, and 7 of the top-10 tours were led by young artists. At Artist Nation the division became greater alignment with our core business in 2014, and we increased the number of shows we promoted with Artist Nation acts by 50%. This delivered increased value of approximately $20 million to our concerts and ticketing businesses, while providing additional opportunities for our sponsors. We now feel confident that with added leadership we will grow our artist management business in 2014 and it will continue to be a valuable pipeline into our concert flywheel. Our sponsorship & advertising business has now reached almost 300 million in revenue, connecting over 750 sponsors with 900 million visitors to our online and mobile sites and 60 million onsite fans. We now have the scale and unique online and onsite user base to attract a broad advertising base, which drove 26% increase in ad units in 2013. At the same time our traditional sponsorship business continues to show strength, growing 11% last year. This was led by a 29% increase in festival sponsorship. Ticketmaster also continues to build upon its strength with nearly 400 million tickets issued and generating over $17 billion in gross transaction value, making Ticketmaster one of the top e-commerce sites in the world. With 106% client net renewal rates in 2013, we continue to grow our B2B client base. Ticketmaster resale was the first new product launch enabled by our new platform and it delivered a 26% growth in secondary GTV. This product expansion of Ticketmaster wins all tickets primary and secondary together in one place creating increased options for our buying fans. We believe the $9 billion secondary market that has historically not benefited content owners will start to be captured by content and Ticketmaster resale will be at the forefront of empowering this. To-date we have partnered with two-thirds of the NFL, NBA and NHL teams, and over 1,000 concerts in launching this product in 2013. Our team of over 500 engineers continues to work on new mobile products; improving the online experience and building a new ticketing platform to enable Ticketmaster substantially upgrade its commerce site of features for both fans and B2B clients over the next two years. As we head into 2014, we are more optimistic than ever on the growth potential of our business and our ability to deliver the three year plan as laid out for 2014 and 2015. While we had tremendous success building our concert fan base in 2013, we believe there is more runway ahead of us that will allow us to continue to build share, add festivals and grow our global portfolio. Early indicators show we are off to a strong start, with event-related deferred revenue up 19% year-on-year to 434 million as of December 31st and concert ticket sales for shows in 2014 up 12% as of February 15th as compared to this time last year. We expect sponsorship and advertising to continue dependable growth at recent historical rates, further building our global sponsorship base and expanding our online ad units as we grow and extend our online and mobile presence. At Ticketmaster, we plan on delivering client net renewal rates of over 100% and see continued growth of our Ticketmaster resale GTV. Ticketmaster has also had a strong start to the year with overall ticket sales up 8% through February 15th on a year-over-year comparison. With that, I will turn it over to Joe Berchtold, our COO to take you through the additional details of our division.
Joe Berchtold: Thanks, Michael. First on the overall financials, revenue grew 11%, 6.5 billion driven by our concerts business. AOI increased 10% to 505 million with growth across concert, sponsorship and ticketing and free cash flow grew 9% scaling with our AOI growth. Giving you a bit more detail on a couple of our businesses. First concerts, Live Nation concerts revenue for the year was 17% on 19% increase in fan attendance. AOI grew 92% to 60 million, driven by the higher fan base with both more shows and higher attendance per show. Looking at our concert business by market, first North America, attendance was up 18% or 5.9 million fans for the year within this our amphitheaters delivered 2.8 million more fans, totaling 13.9 million for the year. This came from a combination of 14% more shows for a total of over 2,200 shows and a 10% increase in attendance per show. Arenas also grew strongly, up 19% or 1.9 million fans for the year. Again this was of the combination of more shows up 12% for a total of almost 1,300 and 7% more fans per show. Festivals then accounted for most of the remaining growth, up almost 800,000 fans largely due to EDM activity. In our international markets attendance increased by 3.6 million fans or 20%, here two arenas were large driver of the growth, up 36% or 2.4 million fans to over 9 million total fans with a 20% increase in shows and a 13% increase in fans per show. The other large driver in our international markets was stadiums which grew by 29% to 3 million fans for the year. Globally in our core amphitheater, arena and stadium business, we added 600 shows and increased attendance per show by 11%. And on the festival side, we held 62 festivals globally, attracting 4.5 million fans, a 26% increase from 2012. Next Artist Nation, Artist Nation AOI for the year was $32 million, down 6 million from last year. On the artist management side of the business, we continue to deliver profit margins of over 20% and for the full year, this part of the business had a decline in profitability of 6 million which was due to the departure of 12 artists with management in December of 2012 and offset by savings elsewhere in the Company. But despite these departures, profits more than doubled in the fourth quarter and were up in the second half of 2013, as we had a double-digit increase in revenue in this part of our business. On the other side of the business, merchandise and other artist services our profitability declined by 2 million. These results were impacted by our decision to restructure these businesses in the first half making some management changes and ending activities that overlapped with what we do in the concerts division. As a result we believe these businesses are better positioned for growth going forward. Michael already covered the specifics on Sponsorship & Advertising and Ticketing; so I will now turn the call over to Kathy Willard to take you through more details on the financials.
Kathy Willard: Thanks, Jim, and good afternoon, everyone. For the fourth quarter revenue was 1.6 billion, up 12% over the same period in 2012, driven by Concerts growth of 18% coming from the higher show count and attendance and higher online advertising helped grow Sponsorship & Advertising revenue by another 15%. Adjusted operating income for the quarter grew 14% to 71 million with ticketing up 18% and Sponsorship & Advertising higher by 7%. Our operating income for the fourth quarter improved from a loss of 126 million last year to a loss of 51 million in 2013. This improvement came from our higher AOI, along with lower amortization expense due to higher impairments in 2012. Net loss for the quarter was 82 million compared to a loss of 116 million in 2012. Revenue for the full year was 6.5 billion, up 11% over 2012. The majority of this growth was in concerts, which was up 17%. Sponsorship & Advertising also delivered strong revenue growth up 15% for the year. Adjusted operating income for 2013 grew 10% to 505 million as compared to 459 million last year. Concerts AOI roughly doubled compared to last year, to 60 million driven by the strength in our shows and attendance delivering an AOI margin of 1.3% as compared to 0.8% in 2012. Sponsorship & Advertising’s AOI grew 11%, from higher online advertising revenue along with increases in festival and other sponsorship activity globally. We’re pleased to have delivered another double-digit growth year for this segment, while continuing to deliver high margins of 68%. Ticketing delivered AOI of 298 million, an increase of 1% along with a 1% increase in free bearing tickets sold and a consistent margin year-over-year over 21%. And Artist Nation delivered growth in AOI in the fourth quarter following our changes to the business in the first half of the year. For the full year 2013 our overall AOI margin was 8% in line with last year. Operating income for the year was 140 million compared to a loss of 22 million in 2012. This growth was driven by our higher AOI, lower amortization due to the 2012 impairments and a $38 million gain on disposal of operating assets primarily in our Concerts segment. The Net loss for 2013 was 43 million compared to a loss of 163 million last year. After adjusting for the cost related to refinancing our debt in the third quarter, our adjusted net loss for this year is 7 million, an improvement of 157 million over 2012. Our EPS improved from a loss of $0.87 per share in 2012 to a loss of $0.22 per share in 2013; and without the refinancing cost our 2013 adjusted EPS was a loss of $0.04, an improvement of $0.84 over last year. Free cash flow was 17 million in the fourth quarter compared to 1 million last year. For the full year free cash flow was 300 million compared to 276 million in 2012. And 2012 included 26 million in tax refunds. Excluding the 2012 tax refunds our free cash flow increased by 50 million due to our higher AOI along with lower cash interest this year. Our free cash flow as a percentage of AOI was 59% for 2013, in line with 2012. Cash flow from operations was 417 million for the full year as compared to 367 million last year, driven by our higher AOI. As of December 31st we had total cash of 1.3 billion which includes 538 million in ticketing client cash. Our free cash which excludes event-related cash for future shows was 445 million as compared to 340 million in 2012. This increase in free cash comes from our higher free cash flow, proceeds from the sale of a theatre in New York and $85 million from stock options exercises during the year, partially offset by higher acquisition activity in 2013. Total event related deferred revenue was 434 million as of the end of December compared to 364 million at the end of December 2012, an increase of 19%. The total capital expenditures for 2013 were 116 million with 59 million spent on maintenance items and 57 million on revenue generating additions, including our Ticketing re-platforming project. We currently project that our capital expenditures for 2014 will be $130 million as we expect overall CapEx to be roughly consistent as a percentage of revenue. Our total debt was 1.8 billion as of December 31st, and our weighted average cost of debt is 4.3%. This compares to our cost of debt in 2012 of 5.2% with the improvement coming from the debt refinancing we completed this year. Our single debt covenant currently requires a maximum leverage of 5.25 times and we are in compliance at less than 3.5 times. We are delighted with our strong results across all of our business segments and key financial metrics in 2013. Thank you for joining us today for the overview of these record results. And we will now open up the call for questions, operator?
Question:
and:
Operator: The question-and-answer session will be conducted electronically. (Operator Instructions) In order to accommodate everyone, we request that you ask only one question with one follow-up if needed. (Operator Instructions) And we’ll take our first question from Vasily Karasyov with Sterne Agee.
Vasily Karasyov : Thank you. Good afternoon. I was wondering if you could talk in more detail about the growth in sponsorship and advertising segment. Can you, it seems like that you highlighted that increase in festivals was a driver this year. How much does the guidance depend on increasing number of festivals and if you could just highlight the driver’s price versus new contracts would be great? Thank you.
 Sterne Agee: Thank you. Good afternoon. I was wondering if you could talk in more detail about the growth in sponsorship and advertising segment. Can you, it seems like that you highlighted that increase in festivals was a driver this year. How much does the guidance depend on increasing number of festivals and if you could just highlight the driver’s price versus new contracts would be great? Thank you.
Michael Rapino: Yes. I mean overall we look at our sponsorship in two categories as the onsite business where you are selling sponsorship whether it’s locally, regionally or nationally across your portfolio across the globe. We’ve shown that has been growing year-over-year for the last three years at 10% plus. We think we still have a lot of the runway on a global basis on the onsite business one, because we continually are just growing our fan base so when we grow 10% and 15% across your fan base you have more fans to sell sponsorship to and we also believe that we still have underutilized assets and believe for the next few years we see no reason why traditional onsite sponsorship will continue to grow at double-digits whether we’re upgrading low level sponsors to higher deals, finding new categories or selling across a broader portfolio. And the second piece of this has been the real growth engine behind our overall advertising business is the digital which as we said grew over 26% and we’re just at the start of that runway. We have no mobile advertising right now but with over 900 million visits to our platform we think we’re making great strides, but believe that’s again a double-digit plus-plus growth business for us for the next few years. So we think both of them have lots of inventory unsold, lots of portfolio opportunities to grow at double-digits.
Vasily Karasyov : Thank you. And just sponsorship contracts or relationships how long-term are they would it be fair to say that it’s a multiyear usually relationship?
 Sterne Agee: Thank you. And just sponsorship contracts or relationships how long-term are they would it be fair to say that it’s a multiyear usually relationship?
Michael Rapino: Yes, we have it’s very, and we have a lot of local deals, a lot of regional, a lots of national deals the larger the deal those tend to be a three to five year deal. The smaller deals are kind of maybe year-by-year or two years that is easily replaced. So three to five is kind of the number on the deals that matter on the top-end and historically we’ve had a very high renewal rate across our 750 sponsors.
Vasily Karasyov : Alright, thank you very much.
 Sterne Agee: Alright, thank you very much.
Operator: And we’ll take our next question from John Tinker with Maxim.
John Tinker : Thank you. The 12% increase in tickets for this year to-date, how much you think that is being driven by just that cyclical upturn and how much of it is by the fact that you’re just getting to people more effectively?
 Maxim Group: Thank you. The 12% increase in tickets for this year to-date, how much you think that is being driven by just that cyclical upturn and how much of it is by the fact that you’re just getting to people more effectively?
Michael Rapino: We think it’s related to your marketing story. We’re happy our marketing is effective. We do believe in general as we’ve been saying over the last two years that this industry has been a fairly unsophisticated marketing industry in general, print ads and radio spots in a market like Los Angeles don’t tend to be sharpen up to reach the real fan. So I think over the last two years as we’ve used our data and kind of been able to analytically go from basically zero to almost 40%-50% of our budgets now are being spent in some direct marketing social online direction. We think we’ve been able to find a much more effective means to target those consumers and we think it is a big reason that has been driving our per show attendance increase. So we think we have a long runway ahead as we get better and better at our digital ad server and buying across our platform and finding that exact U2 fan and sending in that message early versus the traditional shotgun approach of the past. So we think it’s a big factor we’ve outlined for the last couple of years social media database, mobile connected world and we can find those consumers, thanks to our huge database to purchase intents and purchase history will drive more effective marketing.
John Tinker : And so I am thinking to have a quick follow-up, your Ticketing AOI the margin is kicking up. How much of this is sort of Ticketmaster plus beginning to gain traction or is it just sort of near the end of the capital expenditure cycle?
 Maxim Group: And so I am thinking to have a quick follow-up, your Ticketing AOI the margin is kicking up. How much of this is sort of Ticketmaster plus beginning to gain traction or is it just sort of near the end of the capital expenditure cycle?
Kathy Willard: John, year-over-year it’s really pretty flat.
John Tinker : I’m looking at the quarter.
 Maxim Group: I’m looking at the quarter.
Kathy Willard: The quarters are always going to live around a bit. So I wouldn’t look too much at that. I think I'd look at the full year and we feel it’s pretty consistent year-over-year.
Operator: And we’ll take our next question David Joyce with ISI Group.
David Joyce - ISI Group: I was wondering which venues tend to be leading and lagging so far in the ticket sales as well as in the concert sales?
Michael Rapino: As we stated in our Q3 and now in our Q4, in 2013 every segment of venues portfolio performed exceptionally well, whether it was small theaters and clubs who had more shows, more young artists, whether it was arenas or amphitheaters or this year even stadiums, which look to be robust again in 2014. And obviously festivals have been on a growth chair on a global basis. So the goodness is from top to bottom activity, more bands, more consumers showing up to the venue has kind of been growth consistent in both international and North America markets.
David Joyce - ISI Group: And on the Ticketmaster side, how much of the client contracts will be coming up this year for renegotiation? And how far along are you in giving secondary ticketing on those clients?
Michael Rapino: In 2014, there is no exceptional renewals this year but we don’t expect the renewal would be at risk, typical year renewal cycle, long-term deals on most of those contracts. So none of them are up at any specific point they'd kind of cycle through year-over-year. As far as the TM resale question, I wasn’t sure, you asked exactly what - when did we get how many clients on did you ask?
David Joyce - ISI Group: Yes, just how far along are you in getting your secondary ticketing rolled out?
Michael Rapino: We did roll it out. Last August we launched the TM resale business. As we said today, we had over 1000 concerts in the last four or five months on the TM resale page, that Ticketmaster. And we had three quarters of the -- NBA, NHL, and NFL teams were all official partners with Ticketmaster resale on through the entire season. So we’ve made great progress in selling throughout all the portfolios of sports and concerts and I’m looking through getting most of our clients to adopt and activate the product.
David Joyce - ISI Group: Sorry, I asked you to repeat a little bit of that. I lost you there a minute. And just finally on the O2, is that closed? Is there anything that we should expect on that this year versus last year? Any new opportunities?
Michael Rapino: In Ireland?
David Joyce - ISI Group: Yes.
Michael Rapino: Now just we’ve always been in that business. It's a leader in Dublin Ireland. Our margin business for us, we were a partner but had some financial issues. So we took over the remaining equity in the venue to ensure and solidify our position in Dublin.
Operator: And we’ll take our next question from Amy Yong with Macquarie.
Amy Yong - Macquarie: I have two questions. First on the international segment; can you just frame for us, better frame for us, kind of the number of concerts or tickets or specific markets or genres that you’re going after for this year and next year? And then my second question is on expenses. Kathy can you just talk about some of the tailwinds or headwinds that we can actually see, particularly as you cycle through some of the investments over at Ticketmaster? Thanks.
Michael Rapino: Hello, Amy. On the international, are you looking - our metric showed the breakout. You’re looking in 2014, are you asking is there any -- where we’ll spend more time on or what’s the specific question on the international show count/ metric?
Amy Yong - Macquarie: Sure. I guess over the next two to three years, any particular regions, whether it be Asia or LATAM where we could see areas of investments that could lead to upside to numbers, whether or not it’s the number of concerts or tickets being sold? Anything like that would be very helpful?
Michael Rapino: I see. Yes, as you look at the way we -- if you look at history and how expanded many years ago, we were a very U.S. centric business and today in 33 countries we’re a global business. So our strategy tends to be, to open up a retail market, you need some scale in that region. So if you look originally in Europe you start in London or Holland and you try to figure out those nine or 10 markets in the area and that’s when the synergy and efficiency comes to life, because then you can buy a tour and you have all of the western Europe and the zone filled out. And you can drive you content through there, you can start employing sponsorship and ticketing. So Eastern and Western Europe are fairly filled out. Always some bolt-ons we'll look for to keep that market strong. And where we’ve been focusing the last year is you’ve seen us slowly one-by-one -- ad markets in the Pacific Rim and Asia to start filling out that zone. You obviously let everyone else know that there is a lot of young demographics in Asia dying to see Rihanna. So we’ve been expanding over those markets. You will continue to see us over the next two to three years add full time offices in Asia. We’ve already been in China for years. We’ve been in South Korea and Hong Kong. We recently looked at Thailand and et cetera, So you’ll build on our Asian Pacific rim. When that becomes a real zone we can synergize our tours, sponsorship and then ticketing. And you’ll see us continue looking at Latin America. Like most of the world we were a excited a couple of years ago; have stepped back to find the right partner and the right economics down there. But you’ll see continue to look as our deal [indiscernible] 30:32 comes up over the next year you'll look for us -- we’ll look to start establishing some permanent offices in South America. And again the reason we need permanent offices is we have the global content. When we sell off global content but partnered with a local partner, it's the least effective margin for us. If we have a local office, we’ll capture in all the local benefits of bringing that U2 short of the market and from there let’s just go about our sponsorship, ticketing and onsite revenue. So Asia is where you’ll see us continue over the short term and we’ll be opportunistic in South America as certain markets and opportunities come together. In the interim you’ll see us just continuing with bolt on strategy in North America and Eastern and Western Europe where needed to supplement our core.
Kathy Willard: And maybe on the cost structure question, it’s one of the pillars of our three year plan that we’ve laid out and it’s coming from the -- primarily the north American tickets in 2015 and that’s what we talked about, the $0.35 a ticket on those, as we roll out the new product and start to be able to take cost out of the system.
Operator: And we’ll take our next question from Richard Tullo with Albert Fried.
Richard Tullo - Albert, Fried: As we look at 2014, normally I would say, wow, this is going to be a huge year with U2 going to UGF, but it seems to me that Live Nation is really going to benefit from the organic opportunities and part of that I think is the conversion of ticket sales in the back of the house into AOI growth. Could you explain to us the benefit of the performance in 2013; was it really due to extensions on to previously existing tours or it's filling up the back half of the house?
Michael Rapino: Yes is the answer to all of that. We have a few things going on. We’ve been building this model for a while. So it’s all about monetizing the ecosystem. There’s never one tour that makes a difference. It’s about the scale of our business. So having the largest sponsorship team and being able to continually sell against your portfolio is a big growth curve for us. Ticketmaster and launching a secondary offering and starting to really monetize some of the revenue, as we also look to re-launch and expand our bigger platform later is key to growth. We look at the concert business, going to my earlier reference, having the scale we have has also given us the luxury of having one of the greatest marketing teams and databases, which starts to make a difference when we’re selling these shows. So we do believe that we have a robust consumer base that wants to go to the show. We have an invigorated supply chain of artists coming up, filling up venues. We look at artists like Lourde and mainly new artists; a year ago we weren’t talking about but will go on and do great things this year. It’s an incredible supply of great young artists that need to get on the road. We got consumer demand and the supply. Our job is then to make sure we fill that extra thousand or two thousand tickets per show to maximize our bottom line. We saw success in that in ’13. We think in ’14 we got two great things happening. To be sitting here today, saying that we are ahead of what was a record attendance is good news. That means that the supply is out there. That means consumers are buying and it means that we’re continually grabbing more market share from our competitors. So we think we’re going to have to a ticket and show count this year that will drive year-over-year growth but every year we’re getting better and better at monetizing that per show profitability by selling a few extra tickets more effectively, by driving onsite profitability, selling more sponsorship and driving extra seats when we sell incremental tickets. So we think we’re executing on all cylinders and we have in ’14 that would appear to be some decent tailwind from a consumer spend and an artist supply.
Richard Tullo - Albert, Fried: 
 :
Michael Rapino: Well I’ll talk about the data question. As everyone knows the buzz is always about data. We happen to have probably one of the largest data bases of live consumers in the world. We've gotten better over the last couple of years at accumulating that data, getting it segmented and usable for our business operators and over the last year we felt it will come to life by using that data to be area effective at direct marketing, which is the sweet spot for driving lower costs and higher per show tickets. So we think the data is -- like everyone talks about one of our unique gold mines. We’re getting better at it every day on monetizing that data by being a lot more effective direct marketers. The example would be last year we would have looked at our data and said who went to and bought mega tickets for country? This year we can go out and very early, talk specifically to all of those consumers, who may have purchased exactly that package historically and start to use our effective marketing dollars at a very sharp shooting approach to talk to cast purchases and casual consumers who we know have a high likelihood to purchase, which takes all the efficiency into the marketplace, that historically we were shooting way wide in our marketing approach. So that is going to enable us to be way more efficient with our $200 million and drive per-sales ticket sales per show by motivating that consumer directly. Kathy?
Kathy Willard: As far as AOI as a percentage of free cash flow, obviously we have shown some growth and if you take out, if you really look at year-over-year ‘13 to ‘12 and take out those tax refunds we received last year, we’re actually up a bit this year. So we’re seeing a good growth come in already. Going through the pieces, obviously AOI, we've given you some information in terms of a three year plan and whatever you are presuming is going to happen in ‘14 for AOI, cash interest expense will be down again because we put the -- we did a new refinancing in August, and we haven’t seen the full year impact of that yet. And those are probably the biggest pieces that would be changing it but I think overall it’s a scale business as we continue to grow that. Then we expect to continue to deliver positive trends there.
Operator: And we’ll take our next question from Ben Mogil with Stifel, Nicolaus.
Ben Mogil - Stifel, Nicolaus: So just wanted to talk about secondary a little bit here. Michael I think in the last quarter you talked about sort of 750,000 tickets being sold on the secondary platform in the third quarter. Can you give us a sense of what the number looked like in the fourth quarter?
Michael Rapino: I don’t know if I said that number in the third quarter. We can say it certainly has been continued on a rapid growth trajectory. I'm not sure that we have given out considerate numbers.
Ben Mogil - Stifel, Nicolaus: Then maybe…
Michael Rapino: We don’t think we have broken that out to that granular.
Ben Mogil - Stifel, Nicolaus: And then looking at the secondary markets; so at the beginning of February Stubhub went back to its resellers and offered them both higher volume discounts and also lowered the threshold above which you started to get some discounting. When you look at what they are doing and that’s almost more B2B, because I think the threshold was like $0.5 million with the ticket sales. When you look at that sort of part of the business and you look at what you’re doing; should we be thinking about you guys as more -- I bought a ticket for a show, I can’t go, I want to resell it, as opposed to Stubhub, which seems to be more focused on the volume i.e. sort of ticket broker side of the business. Is that the right way we should be thinking about the dynamics in the market?
Michael Rapino: No not at all. The marketplace is a supply and demand business. Most of the tickets did end up on secondary sites, large component are the professional brokers in all those markets. We have a great relationship with them and have similar incentive programs with them. So they are a large supplier to secondary websites. We continue to work with them. And we also see us having a large relationship with the NFL, NBA, NHL and the content. So we’re unlike their Stubhub, very aligned with the content and you can see that through the NFL Exchange. And of course the component of the consumer that can’t go, the consumer that wants to sell his tickets for profit, that’s a component of the business and big part of Ticketmaster also. So we’re in the same business. Our only competitive advantage that we look at from differently than Stubhub is we're in the primary business with a lot of traffic and we know that when 27 million uniques are coming into that website, that having three months of no Beyoncé tickets didn’t make a lot of sense and the 1001 [ph] for the next three months having Beyoncé tickets available for fans adds a big level of inventory to the store shelf. And we have seen the growth. To date we expect that to continue to grow as we work with the colleagues and the brokers and others to supply the inventory on-site.
Operator: And we will take our next question from Doug Arthur with Evercore.
Doug Arthur - Evercore: Joe, you talked a little bit about the moving parts at artist nation. That had awfully good quarter on a down revenue number and I know there is a lot of shifting parts there. But have you sort of lowered the cost structure of that now on an ongoing basis? That’s question one.
Joe Berchtold: Yes, I think that we lowered the cost structure over the beginning of the year and part of this is; I think we're seeing the results of the greater alignment with the concert business and part of this is timing. That helps in the fourth quarter for sure. But as I also say, it wasn’t just a fourth quarter on that part of the business. It was the total second half that saw both strong revenue increase as well as an improvement in profitability. So we feel good about where the business is at this point. We think it’s prime to continue to grow and add more, both in its own right as well as what it contributes to the rest of the business.
Doug Arthur - Evercore: Okay, great. And then Michael, this maybe a mix issue but if I look at ancillary revenues per attendee, you have had really good growth in the festival business overseas but the amps have been kind of flattish. I know historically that’s been a goal to get that up. Is there any kind of trend there or is that a mix issue?
Michael Rapino: It tends to be a mix issue. We have been fairly efficient with the North American amps on-site business. So we obviously like to see it grow year-over-year. We don’t have high expectations. But there is a ton of room left in that business from an F&B perspective, as I said operating fairly efficiently but it is a mix. One of the realties are when you have Kid Rock dates, lots of beers sold and then when you have One Direction, a few bottles of water have sold. So, depending on the mix you may have that year, it can vary by a $1 up or down but generally we think the business, because of its country base in ‘14, will be able to deliver those numbers or better looking at the mix this year. 
Doug Arthur - Evercore: Great. And actually just one follow-up. You had very good success in the online ad sales, up 26% but the theme is that you are just scratching the surface, particularly in mobile. Would it be your hope that or expectation that, that you continue to see 20% plus growth in there for some time?
Michael Rapino: Well you're not going to get me on that exact number but I would say, yes, I think we all look at the industry of digital, online and mobile growth as growing, highest of all advertising mediums. We think we've done a fabulous job. Where three years ago we weren’t even in this business, we've stepped up over the last three years a strong digital team, align that with our digital content. We've been able to grow that business substantially. We think yes it’s going to be a double-digit plus growth business for us, as we can get better at delivering ad units online, digital, mobile et cetera.
Operator: And we will take our final question today from Martin Pyykkonen with Wedge Partners.
Martin Pyykkonen - Wedge Partners: Two questions. I guess on the AOI margin for the concert segment going forward in the year, I know you are not going to give a number in terms of guidance, but can you talk about what the swing factors might be in 2013 in terms of attendance and revenue and AOI was up in dollars, incrementally, up in terms of margin. Where could that go or what are the sort of fundamental limits to it, if you want to talk about in that way? And then second question on social media, when I look at your sales and marketing for 2013, up just over 7%, obviously revenue for the company and concerts into high double-digits. Was there -- in 2013 and should we pick a discount in this year where you are pulling back maybe to sort of "traditional media" advertising spend and getting a leverage out of social media? Is that what’s kind of going on within the sales and marketing numbers in percent of revenue? Thanks.
Michael Rapino: So, on the first one first, let me start with the constraints on the profitability, the concert business. Your typical deal with an artist business is they might get 80% to 90% of the door and then you've got cost to cover on top of that, it is going to be a low limited margin business inherently. So we have said that I think in the past talked about, that’s why the importance of getting that concert. The power of the flywheel then drives the on-site sponsorship, the ticketing businesses, to drive the majority of the profitability. I think in 2013 you saw a nice increase in the relative profitability of that business, largely because you had strong increases in attendance per show. So even though if you think about the artisans being a substantially variable cost against the revenue stream, lot of your other costs associated with putting on the show from the marketing to the actual night of the show are going to be more fixed against the given show, which then means more people you can drive to that show, the greater it is your profitability, the greater it is your profit margin. So do we really think there is still room for us to continue to hedge up in our profitability of the business? Yes, but it’s never going to be a high margin business. It’s never going to be something where you see a dramatic increase as we think that having a -- I broke out a lot of the specific numbers -- having very high increases in attendance per show; we saw how is I’ve listed. You can get range in terms of where that can go. In terms of the second question on our advertising shift and its impact, absolutely big focus in 2013. You can see the focus in 2014 is shifting ad spend away from traditional media to social and digital platforms. And we think that was one of the factors that helps our attendance per show and we think that there's still ways to go in what we can do there is as well as the upside of the effectiveness of doing so. It comes, a piece at a time, or two at a time, but it's certainly the trend that exists for our business.
Martin Pyykkonen - Wedge Partners: Okay and then just quickly if I can do a follow-up on the festival business in particular and that to the extent you can split this up domestic versus foreign, is there -- should we be thinking there's a lot of run way and headwind in terms of adding trustable volume in terms of shows or festivals that would make sense to you financially or is there any diminishing returns, large number sort of impact that is closer or is there a headroom still go?
Michael Rapino : Well, we look at everything on a global basis. So as large as we are, we still look at the globe and have lots of runway in all of the categories, with lots of runway to expand, Ticketmaster into foreign markets. We haven’t been very aggressive at it, lots of room to move Live Nation into more markets that are growing. And in our portfolio we’re very strong on European basis, have 40 or 50 festivals in Europe, and have a smaller portfolio in North America. And then when you look at Latin America, Pacific Rim et cetera. We would have no festivals there. So we’re into festival business, a big segment, market growth and we still believe we have a relatively small overall market share on a global basis. I think we have lots of room to still build those into our portfolio when growing that business.
Operator: And there are no further questions. I’ll turn the call back over to Mr. Rapino for closing remarks.
Michael Rapino : Great. Thank you, everybody, and we'll talk to you all in Q1.